Leslie Iltgen: Thank you, and good morning, everyone. A warm welcome to Henkel's conference call on the results of the first half of 2023. Here with me today are our CEO, Carsten Knobel; and our CFO Marco Swoboda. As always, following the presentation, Carsten and Marco are happy to take your questions. Before handing over to Carsten, please let me remind you that this call will be recorded and a replay will be made available on our Investor Relations website shortly after this call. By asking a question during the Q&A session, you agree to both the live broadcasting as well as the recording of your questions, including salutation to be published on our website. Also, please be reminded that this presentation contains the usual format disclaimer in regard to forward-looking statements within the meaning of relevant US legislation. It can also be accessed by our website at henkel.com. As always, the presentation and discussion are conducted subject to this disclaimer. With this, it is my pleasure to hand over to our CEO Carsten Knobel. Carsten, please go ahead.
Carsten Knobel: Thank you, Leslie, and a warm welcome also from my side to everyone joining our call today. After highlighting, the key developments of the first half year, we will walk you through our business performance and the outlook in more detail. And of course, we are looking forward to taking your questions. So let's get started with the major topics and the achievements in half year one. The first six months of this year, we clearly sustained Henkel's growth momentum. We achieved a very strong organic sales growth of 4.9%, which was driven by both Adhesive Technologies and Consumer Brands. Both business units delivered double-digit price increases. Volumes were below the prior year. As you know we had cautioned you about expectations for volume development and our consumer business, particularly on the back of trade negotiations and portfolio measures, which accounted for roughly 6% in Q2. In Adhesive Technologies, we saw a quorum have a comparatively good development versus relevant markets. For the second half, we expect volume development to clearly improve in both businesses. When it comes to the bottom line we have made good progress in restoring our profitability, with focus and with discipline both in terms of gross profit, as well as adjusted EBIT margin, which reached 11.5% on group level being up 80 basis points. The significant increase was supported by strong pricing to further compensate for the still elevated input costs, but also by accelerated savings from the Consumer Brands merger, and from continued portfolio. This also resulted in an adjusted EPS growth of more than 14% at constant exchange rate in the first half. And at the same time, we are putting a strong emphasis on investing in growth for example by stepping up our marketing activities in the consumer space to further strengthen brand equity and by fostering growth strong innovations in both business units. On top, we also significantly improved our free cash flow. More on that from Marco, a little bit later. Against, the background of the strong performance in the first half, we raised our full year guidance today. We upgraded our expectation for our key cash KPIs. That means stronger organic net sales growth, a further increase in the adjusted EBIT margin, and adjusted EPS growth now expected at 5% to 20%. All-in-all a very strong set of results in the first half year. Looking at the macroeconomic environment, the global economy continues to grow although at a lower pace compared to the previous year and with recessionary trends in some regions. After muted growth in half year one, industrial production is expected to slightly improve in the second half reaching 1.1% in the full year. We are also still facing globally high inflation rates and increased interest levels. And at the same time, we see the situation in global supply chains logistics and commodity markets improving. Specifically, input costs are partly easing. For some raw materials pricing have come down. However, for some of the products we purchase for instance in organics we still experience higher price levels compared to the first half of 2022. Also, there is an impact from wage inflation and still elevated energy costs. Our end markets show diverging developments. Looking at Adhesive Technologies, we continue to see huge demand in areas like construction and packaging. The market environment in China remains challenging, also having an impact on the electronics sector. In contrast to that, the automotive market is showing double-digit growth. The light vehicle production record at the plus of more than 11% in the first half, also aerospace is growing strongly as there is a significant order backlog in that industry. The relevant consumer markets continue to be impacted by the overall inflationary environment. And as a consequence, we still observe downtrading in key categories which of course also have an impact on our business performance. About -- we will get to that in more detail in a couple of minutes. Let us now turn to some major achievements in the first half. The further integration of our consumer businesses is in full swing and I will provide a brief update on where we stand in just a minute. But we are not only shaping our Consumer Brand business also in Adhesive Technologies, we have been advancing our setup. And at the same time, we are further strengthening our competitiveness in the markets to fuel growth. We are consistently investing in product innovations. And we have stepped up our marketing activities as I mentioned before by a double-digit percentage rate in the Consumer Brand business in order to drive brand equity not least in light of a fast evolving consumer environment and the market dynamics I just described. And we see that this strategy is paying off. Just to give you some examples. We were able to expand market shares globally in Hair Styling by 40 basis points given -- and even gaining 100 basis points in our core markets in Europe. And in North America, our market share in Fabric Cleansing increased by 50 basis points. In the current process of repositioning our brands globally, flanked by strong innovations we may still see some dips in market shares for some categories in certain regions. However, this is absolutely in line with our expectations and the deliberate choice we are making. For the second half, we will thus keep up with a strong level of investments. In Adhesive Technologies, our e-mobility solutions again delivers strong double-digit growth rate. We also further shaped our portfolio. We continued with our portfolio pruning measures in Consumer Brands, and in April, we successfully completed the exit from our business in Russia with proceeds of more than €600 million. With that let me provide some more color on the progress with the Consumer Brands merger. We further moved ahead with the integration and we are ramping up the net savings faster than anticipated. And as a reminder in total, we want to realize at least €400 million of net savings in full swing by 2026. As we are optimizing the organizational structure, we in the meantime reduced a total of around 1,500 positions in the consumer business since beginning of last year which is equivalent to around three quarters of the targeted 2,000 positions we had announced. We also made substantial progress in shaping our consumer portfolio. Our focus is clearly on the two global categories; Laundry & Home Care and Hair. And we succeeded in either divesting or discontinuing businesses, which didn't fit to the pursuit portfolio strategy. Out of the €1 billion we announced being under review we already executed on around €0.4 billion last year. And with the further progress we made in the first half of this year we now stand at a total of €0.5 billion. And at the same time, we have been strengthening our portfolio through acquisitions. The integration of Shiseido's our professional business in Asia Pacific, which we acquired last year is well on track and the business is performing in line with our expectations. And in the first half year of 2023, we acquired the leading sustainable Laundry & Home Care brand Earthwise in New Zealand. Having a more streamlined portfolio enables us to perform our marketing activities at a much more focused and also much more efficient way. Also as just mentioned, we clearly accelerated our marketing and advertisement activities to fuel growth momentum. Beginning of the year, we also kicked off the second integration phase dedicated to supply chain and operational excellence. And also here we have already achieved tangible progress. We announced that we would align our operations and processes along the rest of -- principle of one face to the customer. The corresponding 111 approach, meaning; one order, one shipment and one invoice was now implemented in the first countries just a few weeks ago. Furthermore, we consolidated our production footprint for hair and body care products in Europe into two sites. So we are ahead of plan and we are delivering on our targets. Let me just share some highlights related to our successful brands and technologies. In the first half, we relaunched our leading detergent brand, Persil with a unique enzyme technology. The new deep clean formula for clean laundry and the hygienic freshness for the washing machine was rolled out across 30 countries globally. Supported by this relaunch and a strong corresponding marketing campaign, Persil continues to deliver double-digit organic net sales growth, a strong performance of our premium fabric cleaning brand considering general downgrading trends worldwide. In our hair business, styling is one of our key categories. Here we relaunched our Gen Z & Gen Alpha brand, GOT2B in co-creation with its community. The relaunch comprised a modernized premium design, better for you formulas with strong performance and more sustainable packaging. The relaunch product range was rolled out across more than 30 countries in Europe, IMEA and Latin America in the first half of 2023. As with Persil, the relaunch was accompanied by a dedicated marketing campaign that focused on the core digital channels like YouTube, Meta and TikTok, most relevant for this young target group. Our GOT2B brand delivered double-digit organic net sales growth and with this supported the very strong performance of our styling business in the first half year. Supported by the successful relaunch, GOT2B advanced to the number three styling brand in Europe being the top brand when it comes to gels, creams and waxes. In this segment, we significantly increased market share by 260 basis points, a clear proof of the strength of our Consumer Brands. As I've mentioned before, we have also advanced our Adhesive Technologies business in order to further leverage our globally leading market position. Under the leadership of Mark Dorn, we have optimized the organizational setup to enhance customer and market proximity, the new structure along the three businesses areas; Mobility & Electronics, Packaging & Consumer Goods and Consumer Craftsmen & Professional that's already established and fully reflected in our reporting. We also continuously advance our manufacturing footprint to ensure an even more efficient and resilient production setup. For example, we will further consolidate our site network in Europe this year and at the same time, we are investing into our manufacturing footprint to always be where our customers need us. And in June, we celebrated the groundbreaking of a new addition to our global production network in the Asia Pacific region. And beyond that, we are upgrading our customer facing and R&D activities. We, for instance, foster the centralization of customer service activities in Europe, leveraging new tools to drive customer excitement. And our newly opened global hub for R&D services in India enabled standardized services and the continuous development of our data assets, which are key to developing relevant high impact innovations at speed. And also in the first half year, our strong products and solution fueled further growth. For example in automotive where 140 out of 150 cars being produced every minute contain at least one Henkel Solution, specifically our e-mobility business continues to benefit from the attractiveness of the global electric vehicle market throughout half year one. The ongoing market transformation is also reflected in our outstanding performance was roughly 70% organic net sales growth, compared to the first half year of 2022. It is a highly attractive segment, offering us a two times higher sales potential per car for electric vehicle models compared to the traditional combustion engine vehicles. When encompassing the complete electric vehicle engine architecture from power conversion to e-drive and the battery system, we are proactively developing solutions for key challenges in the automotive industry. And our e-mobility portfolio continues to providing a more convenient driving experience by enabling fast charging and increasing driving range, while supporting higher safety standards. Another area, I'd like to highlight is aviation. The aerospace industry has come back strongly after the COVID downturn and is expected to accelerate its growth in the future with an annual average of 2,000 airplanes estimated to be manufactured in the next 20 years. To capitalize on this development we are continuously investing in innovation, manufacturing footprint and global supply chain resilience. These efforts enable our aerospace business to grow double-digit in the first half of the year, compared to the same period of previous year. The industry is going through a tremendous transformation, especially in sustainability, automation and lightweight. We aim to support our aerospace customers in achieving their goals, for example, with our carbon neutral production plant in Montornes in Spain. Montornes is one of the 10 additional production sites, which we converted into carbon neutrality in the first half year of 2023, another big step in our efforts in the area of sustainability. In order to achieve carbon neutrality in our production, we are using different levels. It is about increasing energy efficiency. For example, smart industry 4.0 solutions are helping to reduce electricity and thermal energy consumption. And we are transitioning to renewable energy sources for example, by onsite electricity generation. We are photovoltaic, by direct purchasing or virtual coverage. These measures are consistently helping us to significantly reduce our CO2 emissions from our operations, and by 2025 we want to reach a reduction of 65% versus the year 2020 10 [ph]. And to date, we have achieved already a minus of 56% per ton of product, a strong achievement on that top. The area of digitalization, we are leveraging our strategic partnerships, with leading tech companies like Microsoft SAP and Adobe to co-develop innovations and solutions to both digitalization, and make it a real value driver. A strong example on that is RAQN, our mega platform for digital business and e-commerce that enables us to drive hyper-personalized content and omni channel experiences. Meanwhile, we run over 3,000 campaigns for 40 brands we have this platform. And for us digital solutions are key and enable for unique consumer and customer experiences. And we are also exploring new opportunities presented by artificial intelligence. Some examples here, our Schwarzkopf SalonLab, is using an AI-based technology, which enables real time analysis of our customers here and the hair salon to provide hyper-personalized digital experiences and products that match their individual hair needs. And meanwhile, we have rolled out this unique B2B2C business model across 19 markets. In Adhesives, we brought digital customer experience to the next level. We launched our new LOCTITE equipment shop in North America. On this centralized platform, customers can search, learn talk to our experts and purchase a range of products for industrial manufacturing and maintenance. The launch in North America is just the starting point. We will further expand the product offering, and roll out this experience globally. These are just a few highlights, on how we have been stringently executing on our strategic priorities And with, that let's take a look at our outlook for the full year, which we increased this morning based on the strong top and bottom line performance in the first half. While the overall macroeconomic environment remains challenging, we are confident to see continued growth momentum and stronger margin than of the prior year, reflecting the progress deriving from the measures, we implemented as well as the strength of our portfolio and the leading market positions we have globally. We now expect organic sales growth of 2.5% to 4.5% and adjusted EBIT margin of 11% to 12.5% on group level. For Henkel's adjusted earnings per preferred share, we now expect an increase in the range of 5% to 20% and this confidence is also backed by the good start -- a really good start, we saw entering into Q3. With that, let me hand over to Marco, for some more details on our financial performance and also the outlook. Marco, please. 
Marco Swoboda: Yes. Thanks, Carsten and good morning to everyone in the call, also from my side. Let me now share some more color on Henkel's business development, in the first half. We delivered a very strong organic sales growth of 4.9% driven by both business units. Pricing was clearly, up by more than 12% while volumes were below price level. I will get to the drivers in just a minute. Both M&A and FX had a negative effect on sales. So in nominal terms, sales showed a slight increase. And as a result, the group sales in the first half again clearly, surpassed the €10 billion mark reaching €10.9 billion. From a regional perspective, we recorded different dynamics. Our largest regions Europe and North America, showed organic growth of 2.4% and 3.8%, respectively. Latin America and IMEA regions recorded clear double-digit growth. In contrast, sales in the Asia Pacific region were below the prior year, particularly reflecting the continued challenging market environment in China. Let us now move on to the performance of our two business units, starting with Adhesive Technologies. Adhesive Technologies generated sales of €5.5 billion in the first half. In organic terms, we delivered very strong growth of 4.7% with pricing contributing 10.2% and volumes down by 5.5%. Absolute adjusted EBIT amounted to €766 million, reflecting an adjusted EBIT margin of 14%. As just shown on the prior slide, we saw very strong organic sales growth driven by double-digit pricing and we will continue to implement further pricing in selective cases, particularly as we are still facing high levels on the input cost side. Volumes were below prior year level, yet showing a comparatively resilient development given the muted demand in Electronics, Construction, and Packaging, while automotive continued to perform exceptionally well. Also we observed destocking along the value chain, which is expected to improve going forward. Overall, looking at the second half of the year, we expect the volume development to significantly improve versus H1. Overall, we were able to clearly increase both the absolute adjusted EBIT and the adjusted EBIT margin, despite the overall challenging environment. Let me now turn to the performance in the individual business areas. We saw different dynamics in the three business areas within our Adhesives business. Mobility & Electronics again was the main growth driver with a plus of 10.9%. This increase was first and foremost driven by the automotive and industrial businesses. In contrast, the development of our Electronics businesses reflects the still difficult market environment, particularly in China. Within the Packaging & Consumer Goods business, we showed a slight decline of minus 1.5% in H1. We saw a mixed development. While Consumer Goods showed a stable development, Packaging declined versus prior year comparables which were on a high level. Craftsmen, Construction & Professional delivered growth of 4.9% supported by all businesses with a stronger contribution deriving from general manufacturing. Our Construction business recorded good growth despite ongoing weak demand. From the regional perspective, Europe and North America showed very strong growth. The IMEA and Latin America region posted a double-digit plus. In contrast and as outlined before, sales in Asia-Pacific were down year-on-year due to the still slower development in China. Overall, very strong performance of Adhesive Technologies business in comparison to our relevant markets clearly reflecting the strength of our portfolio and outstanding market positions globally. Let us now move to Consumer Brands. The business generated organic sales growth of 5.7%, which was to large part driven by strong double-digit pricing of 14.1%. Volumes decreased by 8.4% and I will elaborate on this in more detail in just a minute. In regard to the adjusted EBIT and the adjusted EBIT margin, we saw a significant step up, reflecting the progress we are making with the different measures we launched which are now clearly bearing fruit. I already referred to the strong growth we saw in consumer business, which was first and foremost, driven by strong double-digit pricing. It goes without saying that the latter continues to be necessary in order to compensate for the overall still high input costs and to gradually restore margins. Volumes were down 8.4% in the first half and down by 10.9% in Q2 standalone. Trade negotiations had a more pronounced impact on volumes versus Q1 in the magnitude of roughly 3.5% in Q2. The vast majority of that is related to Europe. The good news is we made good progress. Particularly towards the end of Q2 we were able to find agreements we should lead to a clear improvement of the volume development in the second half, more pronounced in Q4 versus Q3. In addition the announced portfolio measures had a negative effect of around 2.5% on volumes in the second quarter. Overall, we expect to see a sequential improvement in our volume development in the second half. When looking at the adjusted EBIT and EBIT margin development, we saw a tangible step up versus prior year levels. This was driven by strong pricing, accelerated net savings from the merger, as well as benefits from the ongoing portfolio optimization. Last but not least, Russia also had a positive impact in the first four months. At the same time, we stepped up our marketing and advertisement activities by double-digit percentage rate in order to strengthen brand equity and drive growth in overall challenging and fast-evolving consumer environment. For the second half, we will keep up with a strong level of investments. Now, turning to the performance by business area. We continue to focus on our two global categories, Laundry & Home Care; and Hair. Laundry & Home Care delivered very strong organic sales growth of more than 5% backed by a very strong increase in Laundry Care which was driven by Fabric Care and Fabric Cleaning. Home Care recorded good growth. Here the development was in particular driven by double-digit increase in the Dishwashing category. The Hair business area which also comprises the professional business grew by almost 8% within the hair business area. The consumer Hair business clearly stood out with double-digit top line growth, mainly driven by the Styling and Color categories. The other consumer businesses showed an overall flat development with growth in North America, clearly standing out. From a regional perspective, all regions contributed to the organic sales growth within Europe. Western Europe was muted by the already addressed retail negotiations which were still ongoing at the time. North America again showed organic sales growth in the meantime the sixth consecutive quarter with an above-average contribution from brands, such as all and Purex and even recent market share gains in our important Laundry business. We achieved double-digit growth in EMEA, significant growth in Latin America and very strong growth in the Asia Pacific region. Wrapping it up, Henkel delivered a very strong top and bottom-line performance in both, Adhesive Technologies and Consumer Brands in the first half. Coming back to the group level and with that to the components of the adjusted income statement. We significantly recovered our adjusted gross profit. We have been impacted by the severe input cost headwinds over the last two years. Thanks to strong pricing to further compensate for the still elevated input costs and to portfolio improvement measures, we now reached a level of 44.7%. While we generated savings in SG&A deriving from the Consumer Brands merger and benefited from more favorable logistics costs, marketing selling and distribution expenses as a whole increased both in absolute terms and as a percentage of sales, particularly due to the significant step-up in marketing spend in the Consumer Brands business in order to strengthen the brand equity. As a result at a level of €2.8 billion, marketing selling and distribution expenses accounted for 25.7% of sales. R&D and admin expenses were also higher with a relative impact increasing slightly to 2.6% and 4.8% respectively. Other operating income and expenses were below prior year and with that had a rather neutral impact as a percent of sales. As a result, the adjusted EBIT margin showed a strong increase by 80 basis points to 11.5%. Moving on to the bridge from reported to adjusted EBIT. At around €860 million, the reported EBIT was up by more than 26% compared to the previous year level. One-time income of around €3 billion resulted from smaller divestments in the first half year. And one-time expenses of almost €240 million are mainly related to the divestment of the business in Russia, which we completed in April. Restructuring charges amounted to €155 million with the majority related to the merger of our consumer business, as well as to the further optimization of our production and distribution structures in both business units. And as a result, adjusted EBIT came in at around €1.3 billion. Taking a closer look at the bridge to the adjusted EPS. The adjusted financial result amounted to minus €41 million, a similar level compared to the prior year. The adjusted tax rate was at 25.5%. And finally, adjusted net income after minorities came in at around €900 million. This translates into adjusted earnings per preferred share of €2.13. This represents a significant increase by around 9% year-over-year or at constant exchange rates a strong plus of 14.4%. Now to our key cash KPIs, starting with net working capital as a percent of sales that increased by 80 basis points to a level of 6.1%. This development was driven by volume and price effects with a more pronounced impact in the Adhesive Technologies business. We are further working on optimizing net working capital levels, and thus expect an improvement in the second half of the year. We significantly improved our free cash flow to around €750 million in the first half, reflecting the strong increase in the operating cash flow with lower payouts for working capital compared to the previous year. And we also assume that this development will continue, which would reflect usual seasonal patterns. Our net debt amounted to around minus €1.3 billion. Here the stronger operating cash flow and the proceeds from Russia offset the payouts for dividend and share buyback. Overall, a very solid financial picture and a good foundation, while cruising through quickly evolving macroeconomic environment and further investing in measures to accelerate growth. Based on our strong performance in the first half year and our confidence for the remainder of the year we significantly increased our guidance for 2023 today for both top and bottom line. We now expect organic sales growth of 2.5% to 4.5% on group level up from our previous expectation of 1% to 3%. For Adhesive Technologies, we increased our outlook to 2% to 4% and for Consumer Brands to 3% to 5%. When it comes to earnings, we anticipate further contributions from the successful execution of our strategic and operational initiatives, while the headwinds from input costs are expected to ease in H2. For the full year, we now expect gross direct material cost to show a low single-digit percentage increase compared to the 2022 average, whilst before we had anticipated a low to mid single-digit percentage rate. However, please keep in mind that direct material price development is only partly driven by feedstock prices, while inflationary trends along the value chain such as still elevated energy costs, wage inflation and logistics costs as well as a certain time lag resulting from contracts also need to be considered. We also raised our guidance for the adjusted EBIT margin now expecting an even stronger step up versus the prior year. For the group, we now guide for 11% to 12.5% compared to our previous expectation of 10% to 12%. Also here we anticipate a stronger development in both business units. For Adhesive Technologies, we now expect the adjusted EBIT margin to be between 13.5% and 15% and for Consumer Brands between 9.5% and 11%. With regards to FX rates, we now anticipate a mid single-digit negative impact on sales from currencies. For the development of our adjusted EPS at constant exchange rates, we now expect an increase in the range of 5% to plus 20%. Also here significantly up versus our previous expectation. So, overall, we are confident to further generate strong growth and to deliver a clear improvement in earnings compared to the prior year. And with that, back to you Carsten. 
Carsten Knobel : Thank you so much, Marco. So let me summarize today's key takeaways, before we come to the Q&A. We sustained Henkel's growth momentum with a very strong organic top line performance, which was backed by double-digit pricing in both business divisions Adhesive Technologies and Consumer Brands. We were able to significantly recover our profitability in the first half year and that clearly shows that our measures are bearing fruit. And at the same time, we continue to invest in growth also by stepping up marketing activities in price-sensitive consumer markets supporting the improved sequential volume development, which we expect for the second half of 2023. And while managing our business in a fast-evolving environment, which remains to be challenging we are successfully executing on our strategic priorities including the Consumer Brands merger with clear proof points that we are ahead of plan. And not last but least, backed by the strong top and bottom-line performance in half year one and our expectations for the second half, we are confident with the regard to the full year and we raised our full year guidance accordingly and also backed by a really good start we saw entering into Q3. With that, let us move on to the Q&A. Marco and I, are looking forward to taking your questions, as always.
Operator: Thank you, Mr. Knobel. [Operator Instructions] Our first question today is from Guillaume Delmas from UBS. Please go ahead with your question.
Guillaume Delmas: Thank you very much and good morning Carsten, Marco and Leslie. To start with a very quick point of clarification. When you talk about improved volumes in H2, do you simply mean better than H1, or would you be willing to say we should expect positive volume growth development in the second half of the year? And then my two questions. So first is on the shape of your income statement in the second half because if I [Technical Difficulty] had to H2. I mean that's already nearly 300 basis points of gross margin improvement. And surely as you indicated, you're going to have a more favorable commodity cost environment so even more gross margin improvement, I would say than the 300 basis points. So my question is, is your intention to let most of that benefit flow through to the EBIT line and clearly aim for the top end of your EBIT margin range, or would you be looking like most of your peers to step up very significantly your SG&A investments? And second question is -- yes.
Carsten Knobel: Sorry. You have been -- we could not hear you in the first 10 seconds on the second question. Can you therefore please repeat the second one? Because otherwise -- we couldn't hear you. Yes.
Guillaume Delmas: Apologies for that. My apologies. So my question was about your second half income statement, the shape of it. Given that your gross margin should be up very significantly, simply extrapolating the first half levels, that's already 300 basis points of gross margin improvement. And then against that you've got an even more favorable input cost environment. So wondering what you're going to do with that gross margin tailwind in the second half? And finally my second question very quickly on adhesives. Carsten at the time of the Q1 trading update, you sounded quite confident about both a pickup in China in electronics in the second half of the year and also about your ability to add on to the significant pricing actions taken in the last 18 months. Just wondering if you have more visibility on these two key future developments and whether your level of conviction is unchanged or maybe has been strengthened? Thank you.
Carsten Knobel: First of all, good morning, Guillaume. And I would say -- I start with the first question which was related to the volume development. As I would say clearly indicated for today, we see for both businesses a significant clearly improvements in Q -- in half year two in comparison of the development of the volume versus half year one and also Q4 stronger than Q3. That's -- therefore, improvement at this point of time, because there is still a lot of insecurity in markets, in trade negotiations, in portfolio measures and things like that. So therefore, significant improvement in half year two versus half year one. That's the first overall statement to be made and again for both businesses in that part. Maybe also to put it in perspective, even within half year one within Adhesive Technologies, the volume development was also better than what we have seen in comparison to the market. And in HCB, you know that we have not only the pure volume development but we have extraordinary measures, especially the portfolio measures Marco I would say gave quite a detailed view on that what the impact was and on top the trade negotiations. That's to your first part related to the volume. I hope that helps. When it comes – and I jump our first to the Adhesives question, which the terms of confidence in the Q1 call related to China and also to the electronics business. We never really anticipated a quick rebound of China in half year one. The negative development in here in that part is mainly driven by the ongoing slow market dynamics in China and the development impacted all business areas. If you look at the latest IPX releases for the Chinese economy that was reduced to 4.4% from a former 5.5% number. And this development reflects the muted sentiment, which we currently see in the Chinese market. And according to HIS, the expected improvement for H2 will materialize mainly as of Q4. So in particular because you also talked about the electronics business, our electronics business was – globally was affected by a lower customer demand visible in lower smartphone shipments in half year one and also a weak semiconductor markets for consumer electronics and data storage. And as a result, the organic sales of electronic business showed a negative development in H1. We expect this development to improve in the second half and also here mainly or more in Q4, also against the weaker comparable what we're having. So even if China should remain softer, the strong performance in the other parts of the business mainly automotive in this year would at least compensate I would say even – we have seen that in H1 overcompensate. And that is – that you can see from today's guidance also increase. That from the one to three adhesives now to the two to four, that we remain very confident in regard to the overall business performance in H2 for Adhesive Technologies and therefore also in the full year range for 2023. I hope that puts a little bit perspective. Yes in Q1, you're right. I was partly a little bit more positive based on macroeconomic data, which in the course of the last couple of months have not realized what was forecasted at that point of time. But I believe that based on our really global setup and our really broad range of Adhesive Technology Solutions in the different markets in which we are serving. As I mentioned, we could overcompensate in half year one and the same is well at for half year two. Maybe we have an upside on that if as expected today. The electronic business is coming back a little bit better in the second half. And you know that we have customized solution. And by that we are less vulnerable to regard to pricing in that setup. So I talked quite a long on that but I think it's important. Marco do you want to take the second question of Guillaume? 
Marco Swoboda: Good morning, Guillaume. You talked about the shape of the income statement i.e. second half versus first half. And at the end of the day, we have raised our guidance now up to 11% to 12.5% for the full year. We achieved 11.5% in the first half of the year. And if you look at the midpoint of the new full year guidance range that is 11.8%. So that shows already we baked into the new guidance. Of course, a stronger second half than the first half when it comes to the EBIT margin. And we also said that we already stepped up our marketing investments in H1 and that is supposed to continue into H2. We also did certain selective SG&A investments in Adhesive Technologies to also strengthen growth and innovations and that is also expected to continue in H2. And despite that we are confident that indeed the margin will go up in the second half versus first half so that at the end we finish the year within the new guidance range. 
Carsten Knobel: Maybe Marco if I can add. You also heard me talking about a good start into the Q3 and that is for both lines the top line and the bottom line.
Guillaume Delmas: Thank you very much.
Carsten Knobel: You're welcome, Guillaume.
Operator: The next question comes from Rashad Kawan from Morgan Stanley. Please go ahead with your question.
Rashad Kawan: Hey, good morning. Thanks for taking my call and good morning Carsten, Marco and Leslie. Just a couple of questions from me. The first on consumer. Would you say the majority of price increases are now complete, or do you envision further increases in the coming quarters? And on trade negotiations I just want to clarify Marco what you said in your opening remarks. I missed a part of it I apologize. But are those largely done at this point? And on the portfolio optimization I think you're through €500 million of the €1 billion target. Do you have a time frame for the remainder of that? Should we expect that over the rest of this year? And you also mentioned some downtrading in some categories. Can you elaborate a bit on that? Where are you seeing it across categories geographies over the quarter et cetera? And then my second question on Adhesives. Can you clarify what the impact of stock adjustments were over the quarter and where you see inventory levels now heading into the second half of the year? Thank you.
Carsten Knobel: Rashad, good morning. So a couple of points from your side. So starting with -- I think you had consumer and pricing. Yes, I think we will keep up with further pricing measures really in that part in a balanced way in selected areas as we still have to restore margins. That in comparison to the pre-crisis periods we are 1/3 away when it comes to our absolute profit and also away from our margins. So we do it in a balanced way going forward. So therefore, it's not over, but for sure the significant parts of the pricing activities we have done, which is also reflected in the double-digit pricing we have seen in first half year for both businesses. Topic of trade negotiations. You said Marco, but I continue here. Yes, Marco said the majority of that is done. That means we have signed agreements which has also a positive impact then in second half. Marco was more pronounced better -- more impact on Q4 than on Q3. To the topic of the downtrading yes, downtrading is something for sure what we experience. And if you look at our portfolio that's more pronounced in our Laundry & Home Care categories. That's not a short-term topic that what we observed since I would say even decades that private label is more pronounced in the Laundry & Home Care categories and that consumers especially in crisis trading down to that. So it's a usual pattern in these days. And -- but you also will see that competition is also affected quite significantly on that. And from a regional perspective also out of history, it's more pronounced in Europe than in other regions. And you know that we have a quite significant share in our Laundry & Home Care business in Europe. That's that. And I think there are two questions left. The one is portfolio. Marco, I think you take that the €500 million out of the €1 billion which we announced and the stock adjustments of Adhesives? 
Marco Swoboda: Good also morning, Rashad from our side. So on the portfolio optimization, we said we put €1 billion of sales under review and we haven't attached a certain time line because these days hard to say when certain also divestments if we decide to discontinue business can materialize want to optimize value also for the shareholders. So we need to find the right timing. So we haven't attached a time line to it. We are now €0.5 billion of the €1 billion. We decided to discontinue and divest and the other €0.5 billion is under review where we see how business is developing, whether we can turn around the businesses to come to the state and shape of performance that we need going forward or we decide to divest. But please understand we cannot give now time line to that. And on the stock adjustments in Adhesives for the first half. Of course, it's a difficult guesswork because at the end of the day that happens at our diverse customer base. So -- but to give you an order of magnitude so the order of magnitude what we would see impact it had on volumes in the first half is roughly -- it can be minus 1% maybe up to minus 2%. But that's the order of magnitude that we would guess on that one. And going forward what we understand that level of stock adjustments should definitely slow down and we should see an improvement in H2 versus H1.
Rashad Kawan: Thank you very much.
Marco Swoboda: You’re welcome.
Operator: The next question comes from Christian Faitz from Kepler. Your question please.
Christian Faitz: Yes. Thank you. Good morning, Carsten, Marco, Leslie and team. I'll have two questions. Any improvement in Construction insight in the Adhesives Business, or will that rather be a 24 topic? And then the second question is on your Professional business within Hair. Can you elucidate a bit more of the performance in Professional in H1? And how you see that evolving in H2? Thank you very much. 
Carsten Knobel: Yes, Christian. So – first of all, good afternoon. You know, starting with the Professional business. I think you have heard Marco saying that we have a really good development in Hair overall in the quarter so a double-digit growth which was -- for sure the double-digit was driven by the retail business per se but regarding all segments Styling, Color and Care. And therefore that was very pronounced. You also heard me about saying increasing market shares on that. The Professional business had a really good half year one in that sense from a top-line perspective also from a bottom-line perspective. On the other side you know that in these days in which we are in inflationary environment all of that that's for sure impacting also consumers in terms of partly changing their behavior in terms of frequency and also the services they're using. And in that context I think we have really seen a good half year one. And we are also expecting on that part not a different development in H2. That means confident also in that sense. So therefore really good development in first half year and no significant change foreseen for second half. The first question was related to the Construction. The construction business recorded a good growth driven in that sense by a strong price effect. Volumes were affected by the ongoing weaker markets and also partly customer destocking. However, we have to take into account that the weak prior year impacted for sure also negatively by the war of the Ukraine. And therefore overall you have seen we have raised the guidance in Adhesives from a top-line perspective from 1% to 3%, 2% to 4%. And that is related more or less to all segments. The only segment where we still have some question marks is what we talked before the situation of electronics where we still need to see in that context. Yes, I would say that's the situation on that. Hope that helps.
Christian Faitz: Very helpful. Thank you very much, Carsten.
Carsten Knobel: You’re welcome, Christian.
Operator: The next question is from Iain Simpson from Barclays. Please go ahead with your question.
Iain Simpson: Good morning, everyone. Three questions from if that’s okay. Firstly, I just wondered if we could talk about volume development. Might it be reasonable to suppose positive volumes in consumer in Q4 given how easy the comps get? Just wondered if you could kind of specifically comment on whether that was something you felt confident about? And secondly, I wondered if we could talk a little bit about kind of reinvestment how much do you expect marketing spend to go up by in the second half? You said it was up double-digit in the first half. And is that going into digital or sort of traditional broadcast media? How do you think about allocating that? And what are you looking for in ROI terms? And then if I can just ask a very quick housekeeping question. You've got a call option on buying back the Russia business. Are you able to give any details as to how the price of that would be determined? If that was something you wanted to do down the road? Thank you very much. 
Carsten Knobel: Yes. Good morning. Good morning, Iain. Let’s -- I take the first two one the volume question and the marketing spend. Marco, I think, you want to take the Russia one. So volume. Iain, I think -- I hope you understand that we are not guiding neither on quarters nor on the specific KPIs on volume or price. I think we were very clear. Yes, we have seen weaker volumes in H1. I think we explained it quite well in adhesives not in comparison to the markets. I think we were better in volume than the average of the market in HCB, because of our impact of trade negotiations and portfolio that's something different. And I stay with what we said before we have a strong confidence that the half year two will be for both businesses significantly better in terms of volume versus H1. What that exactly leads, at the end to the year of -- if already positive or not I would say, I don't -- I cannot and I don't want to comment, because the situation is still quite volatile on that. Related to your second question of marketing spend. Yes. We had a significant increase -- double-digit increase of spend in marketing activities for sure pronounced in the HCB sector for half year one. And I think Marco was also quite clear on that and myself, that we will continue with that strong investment support. For sure more focused than in the past. And I think that's important based on our portfolio measures. We are on a transformational way. And I think that takes some time. It takes also a decision to adjust the portfolio in the right way. But with that -- so higher spending and more focused. I think the consequence you have already seen in H1 because if you look at the Laundry & Home Care and the Hair businesses where we see that -- as the global categories going forward that. This is also already in the first half year paying off and paying into the right direction and we will continue to do that also in the second half, despite the fact that you also have seen that we have increased our margins for Henkel but also for -- especially also for the Consumer business now to a level of 9.5% to 11%. So all of that is taken into account, I hope that helps. And with that regarding the Russia question to Marco.
Marco Swoboda: So on the Russia call option, broadly speaking would say that would be a fair market value -- for which we would repurchase, at a fair market value assuming a clear normalization of the geopolitical environment and hence also reduction of the currently high-risk premium. So…
Iain Simpson: That's very clear. Thank you so much both of you.
Carsten Knobel: You're welcome, Iain
Operator: Our last question comes from Celine Pannuti from JP Morgan. Please go ahead, Ma'am.
Celine Pannuti: Yes. Good morning, Carsten and Marco. Maybe a follow-up, my first question is a follow-up on the previous question. I'm trying to understand your guidance for the Consumer division, because even at the top end of the range, I'm a bit trying to understand the second half implied? Basically we've seen an acceleration in pricing in Q2 versus Q1. And even though the base of comparison is harder in H2 that will leave you with a lot of pricing benefit in the second half. And then when you talk about volume recovery or at least that generation. So could you explain the moving parts behind your new guide for Consumer and what implies for the second half? My second question is on market share development. So if I think about US and Europe and Consumer it would imply that you are slightly positive in North America and negative in Europe which implies market share losses versus all your peers that have reported. How do you plan to fix that? And I'm also thinking about your cost being deflationary in the second half of the year. Would you look to, use as well -- higher promotional levels in order to get back some of this volume in those quite competitive market? Thank you.
Carsten Knobel: Yeah. Good morning, Celine. So, starting with your question on the guidance, so first of all, yes, we have lifted the guidance to 9.5% -- to 11%. HCB will keep up with pricing. We expect a volume development to improve. We expect benefits from net savings out of the merger to again contribute. We also said that we are ahead of plan on that. And in other words, as I said, it with -- in the context of Iain, we will continue with our investments. When you say you compare half year one and half year two, there is one big element, which is in half year one which is not in half year two, which is the impact of Russia. The first four months where we had business and based on the situation what we already explained in -- with the financial call for the full year 2022. We have seen a similar impact in terms of accretive -- being accretive in margin than in the 2022. That means for HGB because you were on that specifically roughly 100 basis points is the impact in the first half year on margin in comparison to prior year. That means, we had a 10.5% where you have roughly 100 basis points on that. If you then see the remainder with the second half of the year, we see a strong performance in the second half of the year. If you take that out as a like-for-like where the other points I just mentioned in pricing, volume development, less cost, expected benefits from the merger will support on that. When it comes -- and I think that's a little bit related to that. When you had your last question, cost deflationary environment, what about the promotional activities. I think we are executing promotions in an adequate way. However, the longer-term return is usually not promising when you take too much of promotion, which is why we pursue the strategy to predominantly and consistently invest in advertising and in marketing to strengthen the brand equity and to push further growth for the mid-term or the long-term. And I would say the last question was related to market share development. Yes, we have -- if we look to the US, we have -- I think we are continuing to be positive on what is happening step by step in terms of market shares slightly improving, especially also on our top brands of all and Purex in that context Persil, that we are moving forward on that step-by-step also with the new management. And yes, market shares in Europe impacted by trade negotiations. We were able to find the agreements, as I mentioned it before, to the end of Q2, which will have an impact -- a positive impact on the second half more predominantly in Q4 than Q3. And by that, I think -- that's I would say the balance. And therefore, we are confident that with the finalization of the trade negotiations, which had an impact in first half year also on market shares, not only on us also on competition and letting private label gain. We are good positioned to balance that out. And I mentioned it before, we have two additional topics. One the portfolio measures, which are impacting also in the first half year. The market share is a little bit by stopping certain categories. But I also said, we had a good start -- a very good start, especially in HGB in Q3 and that makes us confident that we are on the right track in terms of the merger but also executing on operational business. I hope that helps.
Celine Pannuti: Thank you.
Carsten Knobel: You’re welcome, Celine.
Operator: And that was our last question, and I hand back to Mr. Knobel for closing comments.
Carsten Knobel: Thank you so much, Owen. Thank you for your questions. So let me close with reminding you of the upcoming financial reporting dates. We are looking forward to connecting with you again in November when we will comment on the business performance in the third quarter And with this, I would like to thank you for joining the call today. Have a good day. Take care and goodbye from all of us. Bye-bye.